Operator: Good morning. My name is Zanas, and I will be your conference call operator today. At this time, I would like to welcome everyone to the Lundin Gold’s First Quarter 2021 Results Conference Call. [Operator Instructions] Thank you. Mr. Hochstein, you may begin the conference.
Ron Hochstein: Thank you, Zanas. And good morning everyone from Fruta del Norte. I hope you all are doing well wherever you may be. Thank you for joining us on this conference call today where Alessandro Bitelli, Executive Vice President and Chief Financial Officer, and I are going to take you through our results for the first quarter of 2021. To begin with, I will provide an overview of our first quarter of 2021 achievements. Give an update on operations on Fruta del Norte. It's got several key value driving catalysts to watch in the remainder of 2021. After that Alessandro will discuss our financial results in more detail. Before I finish things off with my concluding remarks, we will then open the call for questions. Please note Lundin Gold’s disclaimers on this slide. This discussion includes forward-looking information. Actual future results may differ from expected results for a variety of reasons described in the caution regarding forward-looking information and statements section of our press release. Lundin Gold is a U.S. dollar reporting entity, and all amounts in this presentation refer to U.S. dollars, unless otherwise indicated. As you are all aware, the COVID-19 pandemic has presented numerous unique challenges that Lundin Gold and all of us have had to navigate. The pandemic continues to significantly affect the local communities near Fruta del Norte. Ecuador was hit with its third wave near the end of the quarter. And the situation in country has worsened considerably. Although the vaccination program is proceeding in Ecuador it is doing so slowly. As such, the company continues to support local government and ministry of health initiatives, including donation of medical supplies and equipment to local hospitals, disinfection equipment to local authorities and transportation services for doctors to reach rural areas. Moreover, Lundin Gold also provides essential equipment to frontline workers in the communities surrounding Fruta del Norte. These efforts to help our local communities are amplified through our communication campaign, which has continued to run during the first quarter of 2021 in conjunction with local government to promote COVID-19 protective measures in communities. Today, Lundin Gold has spent approximately $800,000 on COVID-19 relief. Given the rise of COVID variance and the severity of the third wave of the pandemic in Ecuador, we have implemented a number of additional protocols at Fruta del Norte, which include a second PCR test, five days after arrival on site, shutting down of all extracurricular activities, such as gymnasium, soccer and other activities, and increase use of KN95 masks. We continue to be vigilant in monitoring all of our employees and the ongoing situation. Lundin Gold, in partnership with Newcrest Mining and SolGold, committed to purchase and install the equipment for establishment of an intensive care unit at the Yantzaza Hospital should improve intensive care capabilities in the province Zamora Chinchipe. 136 pieces of medical equipment have been purchased and donated. The provincial government carried out a number of structural modifications to the whole hospital and the Ministry of Health to provide provided training and personnel for the ICU. On April 28, the ICU was officially inaugurated and is now treating critical COVID patients. The ICU will benefit over 76,000 residents in the province. As another integral part of its sustainability program, Lundin Gold has long prioritized actions to improve quality of local education, particularly improve Fruta del Norte’s area of influence. The COVID-19 pandemic, forced local schools to close in March, 2020. And since then, they have not been reopened. As a result, children are facing enormous difficulties having to learn in remote communities where local internet infrastructure is weak or nonexistent. And many families struggle to provide children with the appropriate tools to access the internet. During the first quarter of 2021 Lundin Gold launched a connectivity project called Estamos Conectados together with the local education authorities, the national government and local stakeholders to improve internet infrastructure in communities surrounding Fruta del Norte, and to provide teachers and children enrolled in local schools with necessary training and equipment to facilitate online learning. Lundin Gold has contributed more than $500,000 towards this project. I'm happy to report and very appreciative, with some of our key services providers and lenders have also committed to support this initiative financially. Education is a [indiscernible] Lundin Gold’s sustainability strategy, and Estamos Conectados program will help strengthen the educational system in Fruta del Norte’s area of influence and in turn increase employability and economic diversification within the local communities. We continue to work on this ongoing project and look forward to providing updates on its development over the coming months. Now let's discuss our results this past quarter. The first quarter of 2021 marks, the first anniversary of the achievement of commercial production at Fruta del Norte. Since then, notwithstanding the temporary suspension of operations caused by the COVID-19 pandemic, operating results have consistently met or exceeded expectations. These excellent results continued during the first quarter of 2021 with record production of 104,137 ounces of gold consisting of 70,642 ounces in concentrate and 33,675 ounces of doré. Sales in the first quarter we're 81,805 ounces, consisting of 49,198 ounces in concentrate and 32,607 ounces as doré, at a low cash operating costs of $672 per ounce sold. And in all average, all-in sustaining costs of only $830 per ounce sold. As many of you realize and notice the difference between ounces produced and ounces sold was due to processing very high-grade ore during the latter part of the first quarter, resulting in double the amount of gold inventory at March 31, 2021 compared to December 31, 2020. These ounces produced late in the first quarter were sold subsequent to quarter end. Had these sales occurred in the quarter, quarterly financial results such as net income, operating cash flow and AISC would have been even stronger. In the mine operating performance was in line with expectations with – just over 365,000 tonnes mined, consistent with results in the fourth quarter of 2020. Underground mine development also continued as planned with a total of 2,450 meters of development completed during the quarter. We continue to see excellent reconciliation at both tonnes and grade with the original resource block model. On the processing side, the mill achieved an average throughput of 3,607 tonnes per day. And the average grade of ore milled was 11.4 grams per tonne with average recovery at 87.8%. We continue to fine-tune the processing plant to improve recoveries as we mine and process different types of ore. The throughput expansion modifications are also expected to improve mill recoveries through the addition of retention time in the flotation circuit.  The Company is on track to meet its 2021 guidance of 380,000 to 420,000 ounces of gold produced at Fruta del Norte. It is important to note that production will vary somewhat over the next three quarters. Production is planned to be lower in the second and third quarters compared to the first quarter, mainly due to lower grade, that will then increase in the fourth quarter due to both higher grades and higher throughput following completion of its throughput expansion program. AISC guidance for 2021 also remains unchanged forecasted between $770 and $830 per ounce of gold sold, calculated on a basis consistent with prior periods. I also want to highlight two important capital project activities, which are still part of the construction scope of Fruta del Norte and nearing completion. First, construction of the Company's Zamora River bridge is progressing according to plan with installation of the main suspension cables completed as well as the launching platform, from which the bridge platform modules are placed. Happy to announce all the bridge modules have been put in place and completion of the bridge is expected before the end of the second quarter of 2021. Work on the South Ventilation Raise is continuing with completion of pilot hole expected this month. We continue to make progress with the final meters of the pilot hole, but they have been challenging. We are now at the point where we are drilling from the underground to aid in the completion of the pilot hole. Once the pilot hole is complete, we will immediately begin reaming out the rates. Completion of the SVR is now anticipated for the third quarter of 2021. We do not expect this delay to impact plan production for 2021. Operational excellence is only one of our four pillars of value creation, and as such, we continue to advance our throughput expansion program, the resource expansion program, and recently announced commencement of our regional exploration program, where the second drill now turning at the Barbasco target. The throughput expansion program to increase the mill throughput from 3,500 to 4,200 tonne per day is continuing on schedule and on budget with detailed engineering and procurement of equipment and materials completed during the quarter. The civil contractor was mobilized in Q1 and earthworks and flotation concrete works are now complete. Under its sustaining capital activities for 2021, Lundin Gold remains on schedule with work being carried out on the TSF. And with that's the first raise of the tailings dam is now complete and work on the second raise has begun. Conversely, while the recharge convergent program has begun, progress was slower than planned as a result of COVID-19 issues encountered when bringing in a second [indiscernible] in from Peru. The delay has allowed us, however, to complete all the development required to set up the drill stations to drill the very setting southern extension. Activity on this program has picked up during the second quarter. I'm especially excited about our 9,000 meter regional exploration program, where drilling began at the end of March 2021. This drilling campaign is focused on two high priority targets for Barbasco and Puente-Princesa to test for mineralization in a geological setting very similar to that of Fruta del Norte. The first hole in the Barbasco target was in progress at quarter end and the second rig began drilling in late April. The first hole is now complete and the rig is being moved to a new location. Initial results indicate that we are on the periphery of an epithermal system. Assayed results are not expected until sometime in Q3 2021. Now I'd like to turn the call over to Alessandro for a more detailed look at the financial results. Alessandro?
Alessandro Bitelli: Thank you, Ron. And hello everyone. In the first 2021, the company recognized revenues of $140 million the sale of 81,805 ounces of gold, consisting of 49,000 in change of concentrate and over 32,000 of doré at an average realized gold price of $1,765 per ounce. This is offset by cost of goods sold of $76 million, which is comprised of operating expenses of $46.8 million, royalties of $8.2 million and depletion and depreciation of $21 million. During the same period in 2020, the revenues of $36.9 million were recognized from the sale of 24,000 ounces of gold during the one month following achievement of commercial production.  Lundin Gold, generic and net income of $86 million during the first quarter of 2021, compared to a net loss of $9.3 million during the first quarter of 2020. Net income inclusive of derivative gain of $51.5 million as a result of a decrease in the fair value or gold prepay and stream loan credit facilities, driven by lower estimated forward gold price compared to December 31, 2020. This is a non-cash item and the volatile nature of these derivative gains and losses are also seen in many of the prior quarters is expected to continue, given the volatility of forward gold prices. The MD&A provides a detailed explanation of the impact of fair value accounting of these two credit facilities and the determination of derivative gains and losses. Deducted in determining net income for the quarter, our finance expenses of $12.1 million and other expenses, totaling $6.5 million, as well as income tax expense of $10.9 million. During the first quarter of 2020 our net loss of $9.3 million was generated primarily due to revenues and related operating costs, reflecting all in the short period of time between achieving commercial production near the end of February, 2020, and the suspension of operation in late March due to COVID-19. Suspension cost incurred at the end of March also added to this loss. Income taxes were accrued for the first time this quarter. They are comprised of current income tax expense of $8 million and deferred income tax expense of $2.9 million. The deferred income tax expense relates to the derivative loss in other comprehensive income. Current tax expenses generated from estimated net income tax – net income for tax purposes in Ecuador for the quarter calculated at the rate of 22%. In addition to corporate taxes, current income tax expense includes an accrual for the portion of profit sharing payable to the government of Ecuador, which is calculated at the rate of 12% of the estimated net income for tax purposes for the quarter. Employee portion of profit share in payable calculated at the rate of 3% of net income for income tax purposes is considered an employment benefit and is included in operating expenses. It should be noted that profit share in is at deductable costs for income tax purposes. Corporate income tax is accrued at the end of March, 2021, fully offset by tax credits available for use by the company. Actual profit share in payable to the government of Ecuador and the employees will be based on 2021 fiscal results and payable in 2022. We expect the company to generate significant cash flow in 2021. And in line with this during the first quarter, the company generated cash flow of $75.1 million from operations or $0.33 per share. Adjusted earnings exclude specific items that are significant, but not reflective of the underlying operating activities of the company. Presently for Lundin Gold, these include cost incurred during the suspension of operation in 2020 and the relative gains or losses with related income tax effects. As a result, excluding derivative gains of $51.5 and the related income tax expense of $3 million, adjusted basic earnings of $37.4 million were realized in the first quarter of 2021 or $0.16 per share. Cash operating cost for the quarter were $672 per ounce of gold sold. This higher results compared to the previous quarter was largely due to a mill shutdown for regular periodic maintenance during Q1. All in sustaining costs achieved in the first quarter totaled $830 per ounce of gold sold, were also higher than the previous quarter. Compared to 2020, basic was affected by higher sustaining capital expenditures. A certain projects were deferred in 2020 due to the COVID-19 pandemic in such as the first raise of the FDN tailings dam as well as the disparity between gold produced and gold sold due to timing. We calculate these non-IFRS measures based on gold ounces sold. For reference, all-in sustaining costs include operating costs, royalties, corporate social responsibility costs, treatment and refining charges, accretion of restoration provision, and sustaining capital net of silver revenue. As indicated earlier by Ron and based on our mine plan, higher grade ore was mine and processed in March compared to January and February. This led to high gold inventories at quarter end which translate into sales only after quarter end. Production occurred evenly throughout the quarter. Production in sales would have progress in parallel, generating more revenues, higher income and operating cash flows, as well as lower ASIC per ounce of gold sold during Q1 2021. This is simply a timing difference. And we were there for not surprised to realize the record monthly sale in April of over 50,000 ounces. As I briefly touched upon earlier, the company generated total $75.1 million of operating cash flow in the first quarter of 2021. At March 31, 2021, the company had cash of $94.4 million and our working capital balance of $57.6 million compared to cash of $79.6 million and working capital balance of $56.6 million at December 31, 2020. The change in cash during the first quarter of 2021 was primarily due to cash generated from operating activities and proceeds from stock option exercises of $5.2 million. This is offset by principal and interest repayments under the loan facilities totaling $52.2 million and cash outflows of $12.9 million for capital expenditures including costs for remaining initial construction activities, the expansion project, and sustaining capital. The company expects to continue generating strong operating cash flow during 2021 based on its production and ASIC guidance. This strong operating cash flow will support debt repayments, regional exploration and underground expansion drilling at Fruta del Norte, as well as planned capital expenditures, including the throughput expansion project. Monthly payment under the stream facilities will be based on seven and three quarters percent and a 100% percent of gold and silver ounces sold respectively, calculated at the current gold and silver prices at the end of each month less $404 per ounce respectively. Stream payments are calculated and reviewed based on final assets from smelter and refinery. Therefore, there is not necessarily that direct correlation between stream repayments and gold ounces produced and sold in a given period, which are based on minor site assets. Quarterly payments under the gold prepay facility are expected to be based on the current value of 975 ounces of gold at the end of each quarter. Scheduled valuable quarterly payments, principal repayments of the senior debt facilities totaled $35 million for the remainder of 2021 with lower repayments in the second and third quarter compared to this past quarter and the last quarter of the year. The company is working towards achieving construction completion as defined under the senior debt facilities in 2021. Depending on the timing of this milestone, additional quarterly principal repayments based on 30% of Fruta del Norte’s excess cash flow also defined term in the senior debt facilities could also occur. The current portion of long-term debt includes an estimate of the additional quarterly repayments as a result of reaching completion in 2021. An accelerated reduction of principal under the senior facilities would then reviews the company's related finance costs going forward. In summary, a very strong quarter of production with financial results in line with expectations and sales and revenue catching up to production in April. A more detailed discussion on our financial results can be found in MD&A and I refer you to this document for more information. Now, I'd like to turn the call back over to Ron.
Ron Hochstein: Thank you, Alessandro. Looking towards the remainder of 2021 and further into the future, we, Lundin Gold have identified four key pillars to drive shareholder value. The first is operational excellence. As I already outlined, we're on track to meet our 2021 guidance in gold production between 380,000 and 420,000 ounces based on an average head grade of 10.4 grams per ton gold, an average gold recovery of 90%. While also estimating 2021 ASIC of between $770 and $830 per ounce sold. We always strive to maximize production and minimize costs. And we will continue to push the mine towards what we believe is achievable.  Our throughput expansion program which will increase mine and mill throughput by 20% is advancing on time and on budget. All key pieces of equipment have been ordered. Detailed engineering is complete and construction is now well underway. The underground resource expansion program has been progressing slower than was originally planned, but activity on this program will pick up in the second quarter. From this expansion program, we see an opportunity to increase our current resources focusing on the Southern extension of Fruta del Norte. Currently only an inferred mineral resource, and on areas within the existing current reserve boundaries with the opportunity to convert existing resources into reserves and also to increase resources. And finally, we are extremely excited that began our regional exploration program with two rigs now drilling on high priority Barbasco target. As a reminder, the two targets of this program, Barbasco and nearby Puente-Princesa are located only seven kilometers south through Fruta del Norte, along the 16-kilometer long Suarez Pull-Apart Basin structure. Our objective is to discover another Fruta del Norte. Before finishing, I would quickly like to take this time to mention that I'm very proud of what this Lundin Gold team has achieved in the first quarter of 2021. But more than that, I'm proud that what Fruta del Norte has been able to provide local communities, benefiting them both economically and socially. Mining will play a key role in Ecuador's economic growth for years to come. And it's very exciting to be such a prominent player in the early development of large scale mining in the country. I'm excited for further developments and updates in 2021. And I believe that Lundin Gold has positioned itself well to continue generating strong shareholder value in the future. Thank you for your continued support. With that, I will now open the call to questions. Zanas?
Operator: Thank you. [Operator Instructions] Your first question comes from Bryce Adams, CIBC. Bryce, please go ahead.
Bryce Adams: Yes. Hi, all. Thanks for the present. I think everything is fairly well discussed. Just wanted to touch on a few things. Firstly, the regional drilling Ron, the first results were expected in Q3, was that previously Q2, do I have my wires crossed or has it been some movement on the timing of those FY results?
Ron Hochstein: The Q2 we are thinking to expand, we've had something on the expansion program, Bryce in Q2. But that got off slowly as I mentioned we talked about the delay in getting that second drill, but also the drill that we did have underground for the expansion program, we did kind of redirect that a little bit to help on this – on the SVR. So it was the Q2. Barbasco was always going to be a little later in the year, just because of the longer holes we're drilling close to a kilometer and just the time it takes to get those out the samples not to Peru [indiscernible] stock, that is the difference between the two programs. Yes.
Bryce Adams: I might've been a little over excited. I was hopeful for Barbasco results in Q2.
Ron Hochstein: We all are.
Bryce Adams: And just on that, on Q2, we're halfway through Q2, you said grades will be lower for Q2 and Q3. Can you talk to the fee grade that you put through the mill in April and maybe the early part of May?
Ron Hochstein: We're running right now more close to our average grades, Bryce. And that's the forecast for this quarter. So, even our average grades are still pretty good, but that's currently what we're running.
Bryce Adams: Okay. So maybe something closer to reserve grade Q2 and Q3 and then a bump in Q4 that would bring the full year average to the 10.4 grams per tonne in the guidance range.
Ron Hochstein: Correct. Yes.
Bryce Adams: And on the LTI from Q1, could you talk to what happened there was the incident in a workshop or underground was – have injured person recovering and more generally what's the definition of an LTI at Lundin Gold because we do see some variance in that definition from company to company.
Ron Hochstein: Yes. Well, let me start with the last question LTI, essentially that the person was not able to return to work due to the impact. The LTI in Q1 was underground and it was a rock fall, very localized rock fall, the employee is doing fine. But he was not able to return to work, he had to go under some observation for a little while. But it was a very small rock fall and we've done a lot of investigation into that since then.
Bryce Adams: Okay. So not a crush injury, maybe a laceration?
Ron Hochstein: It wasn't even a – it wasn't even a laceration or it was just a small came and hit sort of on the head and shoulder and just needing to take some time, some observation time. 
Bryce Adams: Okay. I appreciate that extra color and a wish the individual well. That's it for me. I'll jump back in the queue. Thanks a lot.
Ron Hochstein: Thanks Bryce.
Operator: Thank you. We have a following question from Arun Lamba with TD Securities. Arun, please go ahead.
Arun Lamba: Thanks. Congratulations on the good quarter guys. Just on the South Ventilation Raise, we finished in Q3 now. I know you haven't given guidance for next year, but can you just give some color on it and how that might affect next year, if it were to get delayed or anything on if it does, I know 2021 guidance is not affected but just on the potential implications, if it's not done.
Ron Hochstein: Obviously, Arun, thanks for the question. Yes. If it's – if this pushes out, we feel we've got floats to take this through the end of the year. So we still have a few months float, even in our current schedule. We – what we're finding with the ventilation systems that we have, we are able to keep this throughput up and even increase the throughput to the 4,200 tonnes per day with the existing ventilation. So we have some float. Obviously, if this gets pushed into next year, it may have an impact, but everything we see now for this year, we feel very good shape, plus still have a three month float to get this thing done. And we are much closer now, because as you've served before, we kept where our efforts were all coming from surface. We've got the pilot hole now close enough. And what we essentially have is just an area of unconsolidated grounds and it makes it very difficult to continue to drill the pilot holes. So we're coming up from underground to help to increase the circulation and be able to finish this hole, all the work's been done on the – in order to start there, the reaming head is sitting there ready to go. So as soon as this pilot holes done everything we'll start with the reaming right away.
Arun Lamba: Great. That's perfect. And that's it for me and congrats again on another great quarter.
Ron Hochstein: Thanks.
Operator: Thank you. [Operator Instructions] It appears, there are no further questions at this time, Mr. Hochstein, you may proceed.
Ron Hochstein: Great. Okay. Thank you again, everyone for attending the call this morning and above all, stay safe, stay healthy. And we look forward to continuing to provide information on the regional program, underground completion of the SVR. I'm the one that wants to be announced that more than anybody. So again, thank you for your attendance and be safe. Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.